Operator: Good day, and welcome to the Topgolf Callaway Brands Second Quarter 2025 Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Katina Metzidakis. Please go ahead.
Katina Metzidakis: Good afternoon, and welcome to Topgolf Callaway Brands Second Quarter Earnings Conference Call. I'm Katina Metzidakis, Vice President of Investor Relations and Corporate Communications. Joining me on today's call are Chip Brewer, our President and Chief Executive Officer; Brian Lynch, our Chief Financial Officer and Chief Legal Officer; and Artie Starrs, Chief Executive Officer of Topgolf. Earlier today, the company issued a press release announcing its second quarter 2025 financial results. Our earnings presentation as well as earnings press release are both available on our Investor Relations website under the Financial Results tab. Aside from revenue, the financial numbers reported and discussed on today's call are non-GAAP measures. We identify these non-GAAP measures in the presentation and reconcile the measures to the corresponding GAAP measures in accordance with Regulation G. Please note that this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. Please review the safe harbor statements contained in the presentation and the press release for a more complete description. With that, I would now like to turn the call over to Chip.
Oliver G. Brewer: Thank you, Katina. Good afternoon, everyone, and thank you for joining our call today. Starting on Slide 4. Q2 was another strong quarter for our company as we met or beat expectations across all 3 segments of our business. I was particularly pleased with the continued consumer strength in our golf equipment business, our margin improvements there, and the excellent consumer response to Topgolf's value initiatives, which has significantly improved our traffic and sales trends. On the strategic front, we closed our previously announced sale of Jack Wolfskin, thus enabling greater business focus as well as providing further financial flexibility as we move forward on our strategic process for Topgolf. As you can see on Slides 5 through 7, given the strong year-to-date results as well as our confidence in our ongoing initiatives, we are raising our full year guidance for the consolidated business adjusted for the sale of Jack Wolfskin in May of this year. This includes higher full year estimates for both Topgolf and our core business. And we are doing this while absorbing the impact of the additional tariffs that were announced after this year's initial guidance was provided in February. Turning to tariffs. Our best estimate of this year's impact is now approximately $40 million, up from $25 million at the time of our last call. This estimate is included in our full year guidance, net of our mitigation and cost reduction initiatives, which are, of course, ongoing. We believe we are benefiting from having been proactive on cost and margin initiatives over the last 12 months as well as our scale in our category and the expertise of our supply chain team. Before going further, I'd like to thank all of our employees and partners for their outstanding work year-to-date in driving our better- than-expected performance in what is an uncertain and challenging operating environment. The strength and dedication of our teams is making a big difference and is highly appreciated. Now turning to our segment performance and starting with Golf equipment. Both revenues and operating margins were ahead of expectations and market conditions remain healthy, especially in the important U.S. market. For the quarter, our operating margins are approximately flat year-over-year despite incremental tariff expense and benefiting from cost reduction and margin initiatives that we've put into place over the last 12 months as well as healthy market conditions and some help from year-to-date improvements in foreign exchange rates. U.S. rounds played are down a little year-to-date, simply reflecting the weather but are approximately flat on a playable hour adjusted basis. As mentioned, the U.S. golf consumer remains healthy and engaged. Looking outside the U.S., market conditions remained strong in the U.K. and Northern Europe markets but are a little softer year- over-year in Asia and Central Europe. Our market shares are down a little this year, reflecting a more competitive launch cadence and 100% consistent with our previously communicated expectations. I continue to feel good about the golf equipment segment, our brand and our outlook. In the second half of this year, we'll be launching several exciting new products, including our new single piece forge line of X Forged and X Forged Max Irons, as well as our new premium Opus SP Wedges featuring Spin Pocket technology. These are exciting new products that we believe will be well received in the marketplace. We also created some fun brand energy via our partnership with the Happy Gilmore movie and our Odyssey Hockey Stick Putter and Chrome Tour Golf Balls. Perhaps even more importantly, we remain confident in our product development pipeline and the products that we'll be launching in 2026 and beyond. We believe our continued commitment to product development and innovation will drive our long-term brand and technology leadership positions. As a result of all of this, we are raising our full year revenue expectations for our Golf Equipment segment. In the Active Lifestyle segment, there is little new to report from an operational basis. Based on third-party data, market conditions for the Athleisure category remained down mid- to high single digits during Q2. Our revenues reflected these market conditions, partially offset by the continued growth of the women's category at TravisMathew and positive sell-through trends in the Callaway Apparel brand in Japan. Segment operating margins are up year-over-year, benefiting from the cost reduction and margin initiatives as well as the sale of Jack Wolfskin. Turning to Topgolf, our traffic trends improved considerably with same venue sales finishing Q2 at down approximately 6%. This was better than our expectations as our value initiatives and our Summer Fun Passes both exceeded our forecast. Same venue sales for the first 4 retail weeks of July continued the positive trend at down approximately 3%. Perhaps most importantly, our traffic results were up 6% in Q2 and 12% in that same July period. Last quarter, we explained that third-party research shows that the consumer continues to enjoy the Topgolf experience, but that we have to reposition our value perception. As shown on Slide 11, this continues to be the case as 100x data measuring 21 entertainment and dining brands ranks Topgolf #1 in the important metrics of fun, atmosphere and food and drink, but only 16 for value and 19 for price. Data like this drove the team to lean into the expanded value initiatives that we implemented during Q2. And after doing so, the definitive consumer reaction to these initiatives reinforces our belief that we are on the right path. And let me be clear. Given the strength of our concept, along with its substantial defensive model, we view this as a big strategic move with significant upside, one that will be particularly important as Topgolf transitions to an independent company. As we change the consumers' value perception on Topgolf and continue to drive the quality of the experience, we are opening ourselves up for both more new and repeat customers, as well as sustained performance throughout inevitable economic cycles. Turning to margin. The team also continues to do an excellent job in this area. Again, exceeding our internal expectations and delivering venue level EBITDAR margins that were approximately flat year-over-year despite eliminating booking fees, adding significant value and the already mentioned decline in same venue sales. These results reinforce our long-term conviction for upside in venue level margins even while driving improved value. Artie will give you more color on this during his comments. Turning to Topgolf's balance of the year same venue sales and revenue guidance, we are revising the same venue sales guidance from down 6% to 12%, to down 6% to 9%. For Q3 specifically, we expect same venue sales to be down low to mid-single digits. During his section, Artie will provide you with more specifics on the key initiatives that have driven our stronger-than-expected results for Q2 and that we're excited about for the balance of the year. Now switching to the Topgolf process. We remain 100% committed and active in the process. We are still evaluating both a spin and a sale. However, the pending change in the leadership at Topgolf, which we announced last week, makes us spin impractical for the second half of this year. If a spin is the ultimate shareholder value maximizing path, it will most likely occur in 2026 after we have a new CEO in place. In conclusion, I'm pleased with our results in the direction of our business. I believe our teams are doing an excellent job managing a complex and at times uncertain environment while also staying focused on continually improving our core businesses and effectively managing our strategic process. We remain energized and excited about our future. Before I turn it over to Artie, I'd like to thank him for his leadership at Topgolf over the last 4.5 years, and wish him well in his new opportunity. Now Artie, over to you for a more in-depth view of Topgolf and then to Brian for CFO comments.
Arthur Francis Starrs: Thanks, Chip. I'd like to share our performance for each of our key focus areas, along with what to expect for Q3 2025 and balance of year starting with same venue sales. In Q2, our core 1- to 2-Bay business was down 5% with traffic up mid- to high single digits, and our 3+ Bay corporate events business was down 12% with traffic up low single digits. We are particularly excited about the brand's 6% traffic growth overall in the quarter, alongside EBITDAR margins that were approximately flat year-over-year despite the added value mix and the removal of booking fees. Our playmakers across the organization are focused on driving profitable traffic growth, and it's clear our players are responding to the strategic pivot we made in Q2. As mentioned on last quarter's call, our #1 priority is to drive traffic growth and improve value perception. Our value offerings, Sunday Funday, Topgolf Nights, early week value and the Summer Fun Pass have seen an immediate positive response and resulted in traffic accelerating throughout the quarter and into the beginning of the third quarter. June traffic was up approximately 10% and July traffic was up approximately 12%, with same venue sales for retail July, the first 4 weeks of the quarter, down approximately 3%. I'm very pleased with the balance of new and repeat players that are enjoying these offerings, which make up approximately 1/3 and 2/3, respectively. Our strategy of offering more compelling and accessible value is working, and we plan to stay the course as these offers continue to build momentum. I'd like to specifically call out the Summer Fun Pass, which offered unlimited play during non- peak weekday hours, exceeding our expectations, selling more than 2x the number sold when we last offered the pass in 2022. The success of our Summer Fun Pass gives us a lot of enthusiasm ahead of the launch of our new subscription program, which we will be rolling out in a sampling of venues in late Q3, in a process similar to the value rollout that's been successful in Q2, with broader implementation during Q4. It's clear that players see value in these passes and subscription-based offerings and it's a natural fit for the Topgolf target audience, especially families and golfers. While the 3+ Bay events business will likely remain challenged in the near term as lead volumes remain down, we are encouraged by the changes we've made, providing more flexibility on rates and times for event planners, which have increased conversion rates year-over-year. Despite the soft outlook for 3+ Bay events, as Chip mentioned, we have increased our overall 2025 same venue sales guidance, given the momentum we are seeing in 1- and 2-Bay. We are seeing strong continued growth in youth events and 3+ Bay events and are building an additional layer, which will support the business long term when the corporate events environment reverts and improves. We've continued to make enhancements to the experience. Our 60- and 90-minute reservations rolled out system-wide in Q2 and are mixing at approximately half of total digital reservations. Our rollout of the Toast point-of-sale system is on track with approximately 20% of venues on the new point-of-sale system, and we expect a little over half of our venues to be on Toast by year end. Early signs show that spend per visit has improved in these venues given the more seamless and speedier playmaker service. As we get deeper into the rollout, we'll see increasing benefits, including mobile order in the Bay, which we expect to further boost spend per visit, improve player experience and allow our playmakers to do what they do best, interact with players to bring more joy to their Topgolf experience. And finally, on the games front, we had a successful launch of our second Marvel experience, bringing the Fantastic Four into our Block Party game. This brings newness to an existing top equity in Block Party, and leverages a powerful partnership with another global entertainment brand. To capitalize on the upcoming football season, we are launching our first ever Topgolf football game in the fall. In 51 venues, we are in the process of installing professional football spec field goalposts with the Topgolf game that creates a fun, competitive environment where the task is simple, hit a golf ball through the post. Our marketing calendar will be focused on activating the Topgolf occasion around the biggest sport in America. We are very excited to bring football to life at Topgolf with our new game complemented by new offerings to encourage gathering at Topgolf to watch football this season. And on the development front, we opened Panama City Beach, Florida at the end of the quarter. It's been another strong opening consistent with modeled returns in a 72-Bay hybrid venue. Player response to the brand in the market has been outstanding. We will open 3 more venues this year, so 4 total in 2025 with New Braunfels, Texas; Woodbury, Minnesota; and Avon, Ohio, set to open late in the fourth quarter. In closing, I'm very pleased with the accelerating traffic trends in Q2 that continued in July. We are expecting Q3 same venue sales to sequentially improve from Q2, down low to mid-single digits, and we are committed to continuing to refine our offerings to respond to what we know players want from TopGolf. Though I will be staying through September to ensure a seamless transition, this will be my last earnings call, and I would like to take a moment to recognize the accomplishments the team has had over the last 4-plus years. These include, but are not limited to, the step-change improvement in margins alongside player experience enhancements, our now robust digital business, which has enabled the immediate change in perception on value, and sustaining the amazing culture on our venues and venue support center that makes Topgolf such a differentiated brand. Chip, I'm particularly grateful for your support and mentorship throughout. The future is very bright for Topgolf and the leadership team is well positioned to drive future profitable growth. Over to you, Brian.
Brian P. Lynch: Thank you, Artie, and good afternoon, everyone. We are pleased with our second quarter results in the current environment as we exceeded our forecast for the second quarter, allowing us to absorb the recently announced incremental tariffs and increased our full year guidance for our ongoing businesses. Before moving to Q2 results, I want to comment on the sale of the Jack Wolfskin business. Our teams did a great job hustling to close the transaction 1 month earlier than anticipated. Compared to last year, this resulted in approximately $15 million less in revenue, but more importantly, resulted in approximately $7 million more in adjusted EBITDA as we avoided the June loss that typically occurs at Jack Wolfskin due to the seasonality of that business. In addition, the closing of this transaction marks a significant milestone as we continue to realign our strategic priorities toward our core businesses and enhance the company's financial flexibility in preparation for the planned separation of Topgolf. Turning to our Q2 results. Consolidated revenues were $1.11 billion, representing a 4% year-over-year decrease primarily due to decreased revenue in the Active Lifestyle segment, which in turn was primarily due to decreased revenue in the Jack Wolfskin business. Excluding the impact from Jack Wolfskin, sales would have declined approximately 2% primarily due to the decline in Topgolf same venue sales. Overall results exceeded our expectations largely due to stronger-than-anticipated performance in the Topgolf and Golf Equipment segments. Q2 adjusted EBITDA of $196 million decreased 5% year-over-year, primarily due to the decreased revenue, incremental tariffs and increased foreign currency hedge losses, partially offset by the impact from the sale of Jack Wolfskin, gross margin improvement initiatives and cost savings initiatives in the Topgolf and Golf Equipment segments. Moving to Segment Performance. In Golf Equipment, Q2 revenue was approximately flat year-over-year at $412 million, which exceeded our expectations going into the quarter. Despite tariffs and an unfavorable FX impact to COGS, gross margin in our Golf Equipment business was up slightly. Golf Equipment Q2 operating income of $76 million decreased 1% year-over-year, with gross margin and cost savings initiatives mostly offsetting the slight decrease in revenue and incremental tariffs. Year-to-date operating margins for Golf Equipment are up over 200 basis points. In Active Lifestyle, Q2 revenue decreased $36 million year-over-year to $214 million, primarily due to Jack Wolfskin, including the sale which resulted in 1 less month of revenue as well as soft market conditions in the Active Apparel industry, as Chip mentioned. Active Lifestyle operating income increased by $6 million to $21 million, primarily driven by the sale of Jack Wolfskin and cost savings initiatives, partially offset by the lower sales volume. Moving to Topgolf. Q2 revenue decreased 2% year-over-year primarily due to a 6% decline in same venue sales, partially offset by higher revenue from new venues. Topgolf same venue sales of down 6% was ahead of our expectations, primarily due to improved traffic trends as previously discussed. Topgolf's Q2 operating income of $55 million, decreased 1% due to increased depreciation from new venues, while adjusted EBITDA increased $1 million year-over-year to $111 million. These better-than-expected adjusted EBITDA results reflect approximately flat EBITDAR margin, resulting from ongoing cost reduction efforts and improved operating efficiencies. The Topgolf team has done great work finding opportunities to improve same-venue sales trends, including the implementation of the value offerings and the Summer Fun Pass. Switching gears to balance sheet and liquidity. Our available liquidity as of June 30, 2025, increased $378 million to $1.16 billion due to increased cash compared to second quarter 2024, primarily driven by approximately $290 million in cash proceeds from the sale of Jack Wolfskin as well as proceeds from lease financing and cash from operations. At quarter end, net debt was $2.39 billion, down from $2.62 billion last year, primarily due to cash proceeds from the sale of Jack Wolfskin. Excluding venue financing debt, which is essentially capitalized rent related to our Topgolf venues and including the convertible debt, our REIT adjusted net debt was $853 million, down $387 million year-over-year as a result of the increased cash. Net debt leverage improved to 4.1x from 4.4x, driven by the higher cash balance. REIT adjusted net leverage, which includes rent interest payments, improved to 1.8x from 2.4x. We are comfortable with these leverage levels. Our inventory balance decreased $38 million versus the end of Q2 2024 to $609 million at the end of Q2 2025, primarily due to a $113 million decrease from the sale of the Jack Wolfskin business. This more than offset increases in Golf Equipment inventory levels due to year-over-year timing difference and the normalization of Topgolf inventory after a supplier factory fire in late 2023. Now let's turn to our outlook for the remainder of the year. As a reminder, the full year guidance we provided in May incorporated to full year financial forecast for the Jack Wolfskin business. Please see Slide 19 in the investor deck for details. With the successful completion of the Jack Wolfskin sale, we are now updating our guidance to remove Jack Wolfskin and to reflect an improved outlook for our ongoing businesses. Moving to specific guidance. The sale of the Jack Wolfskin business reduces our full year forecast by approximately $265 million in revenue and $26 million of adjusted EBITDA, both representing the Jack Wolfskin forecast for June through December. Given the sale occurred in May, the seasonality of that business resulted in outsized impact on adjusted EBITDA this year as we incurred the seasonal losses during the first 5 months of 2025 but don't received the second half EBITDA it typically generates. Our updated revenue guidance of $3.80 billion to $3.92 billion represents an increase of just over $30 million at the midpoint versus prior guidance, excluding Jack Wolfskin. This updated guidance also reflects an improvement in the midpoint of our Topgolf same- venue sales outlook, which, as I will discuss in a moment, more than offset some timing headwinds in the business from 1 less venue opening in Q4, which has now moved to 2026. Moving to adjusted EBITDA. We're also raising the midpoint and narrowing the range of our full year adjusted EBITDA guidance. Given the improving trends, we are essentially covering a loss of the $26 million second half Jack Wolfskin adjusted EBITDA and the approximate $40 million expected headwind from tariffs this year. Excluding Jack Wolfskin, the midpoint of the updated guidance range of $430 million to $490 million represents an increase of just over $25 million versus prior guidance. Our business is benefiting from better-than-expected sales and the team's excellent work finding additional cost efficiencies, as well as our ongoing gross margin initiatives. This outcome is a significant accomplishment in this difficult operating environment. Turning to Topgolf. We are revising our same venue sales guidance from down 6% to 12% to down 6% to down 9%. As a result, we are narrowing the range of our full year Topgolf revenue guidance to $1.71 billion to $1.77 billion, which is $5 million higher than the previous guidance at the midpoint. We are also narrowing the range of our full year Topgolf adjusted EBITDA guidance to $265 million to $295 million, which represents a $10 million increase versus prior guidance at the midpoint. With regard to CapEx, given the changes in timing of lease financing proceeds, our outlook for Topgolf's net CapEx has changed to $110 million to $120 million from $90 million to $110 million. Separately, we are lowering our core business CapEx outlook from $60 million to $50 million. We continue to expect to be free cash flow positive at both the total company and at Topgolf in 2025. Now turning to our outlook for the quarter. In Q3, we are forecasting consolidated revenue of $880 million to $920 million versus $905 million in Q3 2024, which for comparison purposes, excludes the Jack Wolfskin results in 2024. This estimate reflects projected same-venue sales of down low to mid-single digits and the more competitive Golf Equipment environment we mentioned previously. We estimate Q3 adjusted EBITDA to be in the range of $78 million to $98 million compared to $119 million in the prior year, excluding Jack Wolfskin. This decrease is primarily due to the projected decline in Topgolf same-venue sales as well as the impact of tariffs announced earlier this year. In summary, we are pleased with our financial performance in Q2, but even more encouraged by the current trends in our business, including continued consumer strength in our Golf Equipment business and improving trends in same-venue sales at Topgolf. We have made good progress with our value initiatives at Topgolf and our gross margin and operating expense initiatives in our core business. These trends in actions are allowing us to increase our guidance despite the incremental tariffs. Our available liquidity remains strong and was bolstered by the sale of the Jack Wolfskin business. In addition, our strategic initiatives are ongoing, and we remain committed to generating value for our shareholders through the separation of Topgolf from our core business. With that said, I would now like to turn the call back over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from Simeon Gutman from Morgan Stanley.
Simeon Ari Gutman: A nice turn in Topgolf. Chip, you mentioned, I don't know I'm using this word right, maybe robust talks around the process, even though spin maybe less likely for the time being. Can you talk about whether the robust process was equal between spin and sale? And while a spin is less likely, does this change actually boost the chance of a sale?
Oliver G. Brewer: Simeon, thank you for the nice comments on the change in trends at Topgolf. The process is ongoing. So no change at all in our strategic direction there. Only really in the timing of a potential spin given that, that's now not practical in this calendar year. And no real comment on the other parts of the process. Those are ongoing. I can't comment specifically on that. I would say, though, that you're -- the improved sales trends are positive for all scenarios, in fact, fundamental to a positive outcome, and those sales trends what we have already commented on. So very pleased with that and no change in strategic direction, only timing of the potential spin if that is the shareholder maximizing solution.
Simeon Ari Gutman: And then on tariffs, realize the situation is still fluid. There's still new countries that are coming into the fore. I don't know if anything has changed in your calculus both with respect to the guidance for the second half -- you've done a nice job managing what we've seen. Is there anything that has changed in the last, I would say, minutes, but in the last few weeks that makes a difference in the...
Oliver G. Brewer: Yes. I mean, it does seem to change pretty frequently, and we're viewing it as becoming more clear, but still we wouldn't be surprised to see potentially more changes coming. As we mentioned at the time of our last call in May, we forecasted the tariff impact for the full year to be about $25 million. We now expect that to be about $40 million. So it increased $15 million with the more recent change in rates and timing of some of those being determined. And we have that embedded in our guidance net of the mitigation efforts that we're taking as we speak.
Operator: Your next question comes from Matthew Boss from JPMorgan.
Matthew Robert Boss: Great to see the recent improvement. So Chip, maybe could you speak higher level to health of the golf industry, maybe highlights you're seeing this season? And could you elaborate on the drivers of the improving golf equipment business that supported the increased core revenue forecast for this year?
Oliver G. Brewer: Yes, Matthew, sure, and thank you for the nice comments. The Golf Equipment business has been very healthy throughout the year and has remained so through Q2 and even more recent results. The consumer is clearly healthy and engaged rounds played are flat on a year-over-year basis or down negligible, but on a playable hour basis, flat. And the equipment business as measured by sell-through is probably up low single digits. So certainly in the U.S. market, a very strong trend. We'd going into the quarter with a little bit of apprehension whether that could change with some of the macroeconomic things that we're hearing about, whether tariffs would have any impact and it has not -- the equipment business remains healthy and continuing some good trends that we've seen now over an extended period of time.
Matthew Robert Boss: And then, Artie, on the traffic inflection at Topgolf during the second quarter and then further improvement in July. So do you see today's pricing and value proposition? Is it now fully right set? And on comp progression from here, I mean, what's the additional step change needed to return comps to positive territory over time?
Arthur Francis Starrs: Yes. I think it's -- we're obviously very encouraged, Matt, on the, I call it, the immediate change that we saw. I think it's a tribute to not only the research but the quality of the testing and how the teams executed on this. In terms of the inflection to positive, I'm not prepared to sort of give you a date at this point in time. I can just tell you that the momentum month-to-month, week-to-week that we saw from -- when the initiatives were rolled out, and the current mix of these initiatives is very profitable for us. The margins being stable year-over-year is super encouraging. But as they continue to build momentum, they'll obviously be a point in time where that does happen, but I'm not prepared to sort of give you a date yet.
Operator: Your next question comes from Alex Perry from Bank of America.
Alexander Thomas Perry: Just first, can you talk about what value initiatives were the biggest contributors? Was the rollout of the half-off game play at Topgolf that I think has been extended sort of Monday through Thursday. Was that a big one? And then what type of traffic lift have you seen after you rolled initiatives like that out? And what has been the impact on ticket.
Oliver G. Brewer: Sure. So the quarter where we said that traffic was up 6% and overall sales were down 6%, the delta is the ticket difference. Obviously, we had the traffic -- we had the value in market not for the entire quarter. So during the last earnings call we had tested it in many venues and we previewed what we thought it would yield. And it obviously yielded results that more better than we expected, and they flowed through better than we expected. So super encouraging. As far as the specific offers, the daypart, the early week value or the day of week value you referenced, which is the 50% off golf, which is pretty unique offering for us where we're still getting full price on F&B. So it's -- while we're able to market 50% off golf, we're still seeing players come in and obviously have the great food and beverage offering that we have. The Sunday Fun Pass was a big hit in the quarter as well. We sold twice as many as we had previously. And what I'd tell you, the combination of those 2 things, bringing in new players, it really sets up well for subscription in the fall. And then the TG Nights offering, which is late night on Friday and Saturday, has been a great experience enhancer. And I think all 3 of those together, combined with the Sunday Funday, which we referenced last time have worked quite well.
Alexander Thomas Perry: Really helpful. And then just on the July comp sort of accelerating further, what's the key driver there? Is that just the consumer sort of becoming aware of the value offerings. And then the comp guide and sort of the down low to mid-singles, I guess, implies a slight default from the current run rate. Is that just an element of conservatism?
Oliver G. Brewer: Sure. Yes, I'll take that in 2 parts. As it relates to July, with value, we just being super consistent, the advertising is super sharp and it's building. So we're seeing players respond to it, and they come in and they want to come back because they got good value from us. So credit to our marketing teams, just for being super sharp with the communication, we have a new marketing leadership team, and they're just doing a fantastic job. So I'm very pleased with that, and I think the momentum in July is a tribute to that. As far as what you referenced in terms of the guide, events they're still soft. So we're seeing continued momentum in the walk-in reservations business. We've taken some action on the event side where we're seeing increased conversion but I would take the guide as a function of some risk in events, but the value has really happened with the walk-in reservation side.
Operator: Your next question comes from Noah Zatzkin from KeyBanc Capital Markets.
Noah Seth Zatzkin: First, if you could just touch on kind of the cost reduction efforts, including labor efficiency initiatives that kind of helped stabilize the Topgolf margins in the quarter. Where are you kind of at? What opportunity do you see remaining there?
Oliver G. Brewer: Sure. So the teams executed at a very high level. I think when we gave the guidance on EBITDA margin last quarter, we didn't know exactly where the value is going to mix and we wanted to be prudent that we maintain the player experience. So a big part of all this is making sure not only are we improving value perception but that our players are having a better and better time and want to make sure that we were staffed properly to do so. And what we found is just, I'd say, continued methodical improvements and efficiencies in the venue in the last 3 or 4 years, we've pretty consistently been able to do this. Tactically, it's a new labor model that just garners more efficiency, allows our playmakers to have more time with our players on the T line. We're seeing some of this with the Toast rollout where we're going to -- we're in -- 20% of the venues right now will be in over half the venues by year-end. And that allows for kind of immediate speed of service improvements and our playmakers to serve more Bays. But for lack of a better term, our teams are just executing at a high level and they're taking the challenge to hand, and it's flowing through really nicely. And based on the guidance we provided last time, we're trending better than the 100 to 200 basis points. We're closer to the 100.
Noah Seth Zatzkin: Great. And maybe if you could just kind of give a quick update on the TravisMathew business and how that's been trending.
Oliver G. Brewer: Sure. Noah, the TravisMathew business, the brand remains strong. That market itself has been slow this year. So if you look at the athleisure market, it's down in the mid- to high single-digit, that has had some impact on the revenues and trajectory of that business, but it continues to do well in the women's category. And we continue to feel very good about the long-term health and potential of that brand.
Operator: [Operator Instructions] Your next question comes from Joe Altobello from Raymond James.
Joseph Nicholas Altobello: Congrats Artie, by the way, on your new role. Looking forward to talking to you about motorcycle sales in a few months. But until then, golf, so a couple of questions. I guess, first, if we look at the legacy Callaway business for lack of a better term, the EBITDA margins, at least the guidance implies this year, still high single digits, which is below where it was pre-COVID. So I guess once that business becomes stand-alone, what do you think is the kind of longer-term steady-state margin that, that business should generate?
Oliver G. Brewer: Joe, it's Chip. We're not, at this point, updating any long-range guidance on the legacy business. We've got a pretty good track record in that business of being a leader in the category and driving strong earnings over an extended period of time. I don't see any change in that trajectory. So we've also had quite a bit of good results this year in terms of gross margin initiatives. Those have allowed us to offset tariffs and other impacts, which were not foreseen going into the year. We expect to continue to drive efficiencies going forward and we'll update you further on long-range goals at the appropriate time in the future.
Joseph Nicholas Altobello: Understood. And just a follow-up on that, just to clarify an earlier comment you made, Chip. Are these departure make a spin less likely? And what does Topgolf -- what would the balance sheet look like in a post-spin environment?
Oliver G. Brewer: Sure. Joe, it delays a spin. So it makes a spin impractical for this calendar year, but doesn't make a spin less likely per se. We're still active in the strategic process, both spin and sale being considered no change in our direction there. Small change in timing on the spin side of it. And with that delay in timing, at the last call, we talked at some length about how that balance sheet would look with improving trends right now. And with a delay in timing, I'm going to not update exactly how that balance sheet would look in a spin. I don't have specific timing for that either, but there has been no change in the strategic direction. The only change that is the -- of note is timing and also the positive trends that we've covered during the call.
Operator: There are no further questions at this time. I'll now hand the conference back over to Chip Brewer for any closing remarks.
Oliver G. Brewer: Well, thank you, Harmony. And just a couple of quick comments. First of all, I want to thank the entire Topgolf Callaway Brands teams for the excellent results in what has been a challenging environment. Artie, thanks to you for the 4.5 years of great service and progress at Topgolf, we're going to miss you, and we wish you all the best in your new endeavor. And obviously, thanks to everybody who attended the call today. We appreciate your participation and interest in Topgolf Callaway Brands. We look forward to further updating you on our Q3 call later this year.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.